Operator: Good day and thank you for standing by. Welcome to the Clearway Energy, Inc. First Quarter 2022 Earnings Conference Call. [Operator Instructions]. I would now like to hand the conference over to your host today, Chris Sotos, President and CEO of Clearway Energy, Inc. Please, go ahead.
Christopher Sotos: Good morning. Let me first thank you for taking the time to join today's call. Joining me this morning is a Akil Marsh, Director of Investor Relations; Chad Plotkin, our Chief Financial Officer; and Craig Cornelius, President and CEO of Clearway Energy Group. Craig will be available for the Q&A portion of our presentation. Before we begin, I'd like to quickly note that today's discussion will contain forward-looking statements, which are based on assumptions that we believe to be reasonable as of this date. Actual results may differ materially. Please review the Safe Harbor and today's presentation as well as the risk factors in SEC filings. In addition, we refer to both GAAP and non-GAAP financial measures. For information regarding our non-GAAP financial measures and reconciliations to the most directly comparable GAAP measures, please refer to today's presentation. Turning to page 4. First quarter results, which on a seasonal basis is the smallest contributor for the full year within our sensitivity range with CAFD of $2 million for the quarter, which is historically our latest quarter for CAFD generation due to the timing of debt payments and low renewable generation. So, we also increased the dividend by 2% to $0.3536 per share, or $1.414 on an annualized basis, thereby keeping us on track to deliver the upper end of our range in dividend growth objectives for the year. Importantly, our sale of the Thermal business closed May 1st with $1.35 billion of expected net proceeds, which after accounting for $600 million of previously committed growth investments, leaves Clearway with $750 million in capital available to be allocated. As a result of the Thermal sale, we are revising our CAFD guidance for 2022 to $365 million. Clearway's performance CAFD outlook remains on track with less than $56 million on previously announced committed investments to fund and with CODs on track for 2022 and 2023 as previously planned. When completed these renewable assets will put Clearway's pro forma CAFD at $385 million or $1.90 per share with $750 million of unallocated capital remain to be deployed. In working with our ClearWay group colleagues, we continue to advance the development of projects that we've announced previously. I want to take a moment to address some of the concerns out in the market generally regarding supply chain challenges and under other risks. The broader economy here in our country is, of course, grappling with dislocations in supply and increasing the cost for labor, commodities and freight. Our electric power industry is no different. Uncertainties in the policy environment for renewable power certainly add to the dynamics that businesses like ours have to address. But amidst those pressures, we looked at the business we have here in Clearway Energy Inc, as one that is very well insulated from those complexities, leaving us very confident in our ability to fulfill the upper range of our long-term. DPS growth strategy of 5% to 8% through 2026. The Clearway enterprise as a whole has the benefit during these times of having tremendous scale, diversification, and financial flexibility, which together put our integrated enterprise in a sweet spot generally, and especially market conditions like these. We see this from the fact the Clearway Group has a pipeline that is large enough and diversified enough that can provide Clearway Energy Inc with capital investment opportunities that will hold up across various market and policy scenarios. And because of its ownership interest in 85 million shares of CWEN, when Clearway Group builds projects, their goal is first how to meet the capital deployment needs we have while balancing providing our shareholders with strong CAFD accretion. This allows the entire enterprise during periods such as this, to be able to flex the system to assure that CWEN is able to invest its targeted capital deployment levels and also its targeted returns as well. So a Group developments platform and its parentage in GIP are also large enough to demand prioritization with suppliers and other stakeholders when complex situations arise. They bring to the procurement work, a deep understanding of policy and global reach, which has led to supply chain strategies that are proving relatively resilient right now. And very importantly, the capital investment requirements we need to meet to drive or demand pressure those requirements at Clearway Energy Inc are substantial, but not so great that a sponsor can't be surgical about the choices it makes on supply chain. That is serving us well today, as a sponsor has been able to establish supply chains and project plans that are both policy resilient and redundant in their ability to enable our meeting the goals that we set for capital deployment. As a result of this, I am pleased to announce an increase in the amount of capital we expect to deploy relative to Clearway Groups development projects, to at least $300 million and approximate 8.5% cap yield. These development projects provide a strong start to the allocation of excess capital giving Clearway Energy Inc confidence it can achieve or beat the $2.15 CAFD per share outlook when the $750 million in proceeds from the Thermal sale are completely deployed. Turn to page 5. Let me spend some time reemphasizing Clearway Group's approach to development and how this scale supports CWEN as a whole. On the left side of the page, you can get a better view of Clearway Group's development scale with over 22 GWs development projects, an increase of 3 GW since last quarter, it is diversified among wind solar and battery with 6.7 GW of late-stage development. While execution of this pipeline will benefit from rational policy decision making on trade and could be accelerated through enactment of clean energy tax credits that are currently being advanced through Congress, the pipeline is robust and can enable growth for Clearway Energy Inc across a spectrum of policy scenarios. Those of you who are longer-term investors in Clearway, it is important to know that Clearway Group's pipeline is 5 times larger than at the time on GIP's investments. To elaborate further, facts and circumstances make us confident that we are positioned to deploy the $56 million in committed capital we have planned for investment and into Mililani 1, Waiawa and Daggett Solar during 2022 and 2023 because of their status in construction and because the supply chain is being used to fulfill the projects. First and foremost, with respect to the projects being constructed in Hawaii, those projects received their panel supply prior to the commencement of the investigation and are now advancing into commissioning and will be completed this year all without being subject to the risk of duties, arising out the Commerce Department's inquiry.  And second, with respect to Daggett, the project makes use of a supply chain designed to enable use of US-made polysilicon, processing that polysilicon into wafers, cells and modules for each step occurring outside of China. The scope of the anticircumvention petition did not target a supply chain of this configuration. A fact affirmed in a memo issued earlier this week on May 2nd by the Commerce Department in which it stated that the modules made with wafers produced outside of China were not subject to the inquiries. While the CODs for Daggett's 2 phases have been extended by 6 months into 2023, the extension enabled the establish from the supply chain, which we are pleased to be able to utilize. Moving to the right side of the slide, and looking ahead to the next wave of approach, we are planning with our sponsor, we believe should prove similarly resilient. The community solar funds that we now hold an option to invest in are fully operational or being constructed with solar modules already in the country today and across the range of subsequent projects that Clearway Group has planned for Texas Food expansion, expansion of our portfolio in Keso, REC and PJM, there's advancing projects that make use of both wind and fuller technologies providing diversification against policy risk, and also has secured redundant monitor supplies for producers whose manufacturing footprint includes supply chain options that are outside of the scope of the Commerce Department's investigation as it is presently defined. As noted, these investments will have a weighted average contract tenor of 18 years and will total at least $300 million of capital deployment and an average 8.5% CAFD and approximate 8.5% CAF yield. We are working with Clearway Group to arrange succession of financial closings for these drop-downs over the forthcoming months with the majority of those planned for the next 6 months. Importantly, the range of projects and flexibility on capital structures they can deploy reinforces our confidence the $300 million capital deployment goal can be met. And if the right policy choices on trade are ultimately made by the administration -- are we able to see new energy, clean energy tax credits and enacted? -- we would anticipate the ability to deploy substantially more capital into this family of projects with a corresponding increase in the CAFD to be able to generate over time. In summary, Clearway Groups development scale and flexibility provides CWEN with transparent and core growth strategy driving CAFD per share growth into the future. And we are optimistic about what the outlook holds for CWEN shareholders. Turning to page 6. Page 6 updates are our project by progress to the $2.15 of CAFD per share, as we deploy the $750 million of excess cash proceeds. Given the increase from $250 million to at least $300 million that we foresee in our latest potential drop-downs from Clearway Group. We now see that we have line of sight to 26 million of additional CAFD versus 21 million of CAFD that we presented last quarter or $2.04 cents of CAFD per share when allocated with still $450 million of proceeds remaining. Over the next several quarters, we look forward to increasing our deployment of capital and achieving or exceeding the $2.15 by this time next year. With that, I will turn over to Chad. Chad?
Chad Plotkin: Thank you, Chris, and turning to slide 8. Today, Clearway is reporting first quarter adjusted EBITDA of $260 million in cash available for distribution or CAFD of $2 million, an amount within the company's expected quarterly sensitivity range. During the quarter, the company's conventional segment performed in line with expectations. For renewables, the utility scale Solar portfolio performed well as overall conditions led to production 6% over expectations. However, this was offset by more challenging operational conditions at our Wind portfolio, which impacted results during the quarter. Overall, while first quarter CAFD results were at the lower end of the company's target quarterly sensitivity range, we note that due to the seasonality of our portfolio, the first quarter is generally a small contributor to full-year results. As previously discussed due to the original uncertainty of when the Thermal transaction would close, 2022 CAFD guidance was an originally established as if CWEN owned the thermal business for the full year. With the Thermal sale now complete, we are updating our 2022 CAFD guidance to $365 million, which no longer factors in the expected contribution from the Thermal business beginning in May of this year. As a reminder, 2022 CAFD guidance continues to assume the achievement of full-year P50 renewable performance, and does not factor in the full contribution from existing committed growth investments, which informs the expected $385 million in pro forma CAFD, that Chris referenced earlier. For further information, as it relates to the seasonality expectations of the portfolio and the timing of expected CAFD realization from our growth investments, please refer to the appendix section of today's presentation. Turning to the balance sheet. Adhering to our long term credit metrics while maintaining flexibility and how we fund growth continues to be core to our overall business strategy as discussed on our previous quarterly calls, due to the timing of when we expected to receive the net proceeds from the Thermal sale, relative to when we needed to finance committed growth investments, we require temporary financing to bridge the company's capital needs. Now with the Thermal sale complete, we have fully repaid the outstanding $640 million in short-term borrowings as at the end of the first quarter, which included the $305 million under the revolver and the $335 million bridge loan used to fund the acquisition of the remaining interest in the Utah solar portfolio.  With these repayments, the company's pro forma credit metrics are now back in line with long-term targets. There are no cash borrowings under the revolver and the company has virtually no interest rate exposure as 99% of our consolidated long-term debt is fixed with the earliest corporate maturity in 2028. With the strength of our balance sheet and the excess $750 million in proceeds from the Thermal sale, CWEN now has unprecedented flexibility to execute on its long-term objectives, as significant growth can be achieved without requiring capital market access, while also maintaining our balance sheet targets. Now I'll turn the call back to Chris for closing remarks.
Christopher Sotos: Thank you, Chad. Turning to page 10. Our goals for the year are simple. First, to achieve our financial and operational commitments. We have closed the Thermal transaction. We are on track to hit our revised CAFD guidance for the year, and we intend to increase our dividend at the upper range of our long-term 5% to 8% DPS growth target. As we discussed during this presentation, we and our colleagues at Clearway Group are focused on allocating our access capital to new drop-down assets and providing creative visibility to the achievement of the $2.15 in CAFD per share when deployed. And finally, we continue to engage in discussions to hedge our natural gas assets and with an emphasis on [indiscernible]. In conclusion, I think overall the first quarter is really one about execution and moving forward with our growth plans. And I think we've made a great start to the year. Operator, please open the lines for questions.
Operator: [Operator Instructions]. And our first question comes from the line of Julien Dumoulin-Smith with Bank of America.
Julien Dumoulin-Smith: Couple questions here. First off, congrats on the Thermal sale here. Just curious, a little bit more, if you can elaborate on how you think about redeploying proceeds, timeline, etc. And just what does that marketplace look like at present? How much does the trade and development activity, impairments, impact at all your ability to look at other assets that are already operating here? I mean, just curious on the timeline now that you got the cash in hand. How long are we going to need to wait? And then I'll just throw the second question, a brief clarification. Just what were the operational issues and just tie to wind that you alluded to a second ago, Chad?
Christopher Sotos: Sure. Thanks, Julien. I'll take the first one and then I'll let Chad take the second. Obviously, to your first question, as usual, a couple pieces to unpack in your questions, Julien, but, for part one, basically the timing of it will be that $300 million will be spent in conjunction with development projects. So I would say over 2022, 2023 and 2024. In terms of the deployment of the remainder of that capital, we really, you know, we're working to deploy it, frankly, now. We'll see how all that goes. But I think for us, we definitely want to make sure that we can come to a conclusion, but I would say by this time, next year. When we've had calls previously, I kind of said, yes, you know, after a year of trying to deploy capital, we haven't found a use for it, that would then make sense to return to shareholders. So I think for our view about, we tend to deploy the capital by this time next year and see where we end up. But Chad for Julien's second question.
Chad Plotkin: Yes, sure. Julien, if you look at some of the data in the appendix, Julien, I'd say there were certain instances in the quarter where resource was not optimal to what our expectations were. We also had some availability challenges at some of the assets, say in Texas in the Midwest when we had some of the icing that happened in February and early March, which pushed down availability and then obviously pushed down revenue capture as well. Those were a couple of the core items that I would say impacted the wind assets during the quarter.
Julien Dumoulin-Smith: And Chris, just going back to what you said a second ago, you flagged after a year you might return it to shareholders here. Again, that's, that's certainly not the core expectation here, right? Again, I don't want to put words in your mouth. I just want to make sure I heard correct there.
Christopher Sotos: Julien, the goal is to deploy the capital in the most efficient way as possible. If the Great Depression hits and the stock hits $17, we might have a different view. But I think given where we set right now, the focus is on redeploying it into other assets.
Julien Dumoulin-Smith: Got it. And at risk of pushing it a tad further, any evolving focus, as you think about wind and solar vs. the litany of other asset classes within energy transition? Just curious if setting expectations early, if you guys are looking at anything more novel?
Christopher Sotos: I don't think anything in particular Julien. And once again, I don't think the majority of those excess proceeds would be in a completely different asset class, if that's your question. Maybe at the margin, but that's very minimal, I would think.
Operator: And our next question comes from the line of William Grippin with UBS.
William Grippin: My first question, just on the commerce memo a couple of days ago, it appears to clarify that the duty rates, if any, ultimately end up being applied on Southeast Asian module imports would be equal to the company's existing rate for imports from China. Do you think that potentially gives developers and manufacturers enough clarity now to kind of restart imports now that risk can actually be quantified?
Christopher Sotos: Craig, why don't you take that one, you're in the best position?
Craig Cornelius: Yes. First, just to emphasize that same memo provided the clarity that I think we were looking to see for the committed projects that we're advancing into construction and that align with the $56 million worth of upcoming investments for CWEN, as noted before. So, I think at least as far as our company is concerned, that's more of a question about the environment for future projects, just to state that unequivocally. But for the broader industry's context, I think our perspective is that the Commerce Department in that memo was looking to do something helpful to the industry and trying to create a ceiling that people could look to as a basis for structuring financing, so projects could commence construction with an understanding of how high the potential duty load might go. But as the broader landscape of industry participants has consulted with each other over the course of the last couple of days, I think our collective perspective remains the same, which is that we're grateful for that helpful gesture, but the fundamental revisiting of what product definition is within the scope of the inquiry, we still believe to be unlawful. And the focus for the Commerce Department really should be on getting to a prompt, negative determination in that inquiry, which we believe to be inconsistent with both law and prior precedent. And I think that's really where the focus needs to remain for the Commerce Department, because the spectrum of the potential duty levels that are produced by that, the fact that some wafer producers have no corresponding company-specific tariff rate because they don't also make solar cells and modules means that it is helpful, but not really what the industry requires in order to achieve the kind of growth that the economy needs, and that also is needed to hit decline the goals.
William Grippin: Understood. Okay. And my last question here is just on the 8.5% target yield on the reinvestment of the $300 million. I'm curious, to what extent is that based on your ongoing discussions vs. perhaps just, you know, conservative assumptions, particularly here in light of the rising rate environment?
Christopher Sotos: Sure. I think it's really the rising rate environment, I don't think has translated precisely through where a marginal bid is externally for assets, that may take some time. So if your question is, boy, should we expect to really do that much better than the 8.5%, especially on the development drop-downs from CEG, I don't think that's a good working assumption. The 8.5% has taken into account where those projects are and the economics of them. I don't think you're going to see a very elastic curve, so to speak, with the movements you're seeing in treasury directly translatable to higher CAFD yields here in the very, very short-term, if that's your question.
Operator: And our next question comes from the line of Colton Bean with Tudor, Pickering, Holt.
Colton Bean: Chris, I think you just touched on this in terms of evaluation impacts, but I guess just broadly for the third-party M&A market, can you describe the level of activity you're seeing there and the opportunity set that you see for that remaining $450 million? It doesn't sound like we've seen a shift in evaluations, but also would appreciate an update if any.
Christopher Sotos: Sure. I think to answer your question, Colton, there is a large amount of assets that are out there. I think, obviously, we do our own sourcing as well on a bilateral basis. And so from our view, we'll participate in auctions for assets that are out there, where it makes sense. We'll also engage in bilateral. I think to your question around are we seeing the move in treasury, so to speak, move through in terms of a new bidding paradigm? Not to cheat your question, I think a little bit that remains to be seen. There haven't been a lot of bids lately that have gone out to see if the move in treasuries and the like have actually moved the overall pricing of assets. So, I think it's a little bit remains to be seen. But I think the one part to emphasize is we can really be patient in our capital deployment. It's not as though with the $450 million, we need to get it done in 3 months or something of that nature. So, I think, to your question as well as some others, we're really going to take our time to make certain that we're investing in the appropriate assets that are quality assets and that appropriate returns to make sure that we can kind of grow for the long-term, because we have the flexibility of time and not needing to do something here in the next, you know, 3-6 months to kind of get the cash off our balance sheet. That's not the tone we're going to take.
Colton Bean: Great. And then just on the development pipeline, any change to your approach in securing long-lead items? Are you looking further afield maybe to earlier stage projects and starting those conversations a bit earlier than you otherwise would have?
Christopher Sotos: Craig?
Craig Cornelius: Yes, we've done that. I think I understand your question to be are we securing major components for projects at an earlier juncture in a project's life cycle then we might have historically in the industry and the answer is yes. So, for example, for the projects that you see, referenced for the roughly 2 GW worth of new drop-down opportunities on which we're focused today, we've secured the major components for all those projects. And in a past industry paradigm, that might not be the case.  Generally speaking, as we're developing projects today, we are now looking to sign agreements that entitle us to the required components for a project at the same time that we're signing the revenue contract that represents the bulk of the project's planned capacity. So we're doing that earlier. And I think that's best both for us and our off-takers because in an environment that is now inflationary and also over a 24-month interval harder to predict in terms of evolution than the last decade was for us and our customers, it's best for us to decide at the same time what the projects designed and capital cost will be, and to assure each other, that we've reached an agreement on the revenues that we require for the project to be feasible. So yes, we're procuring earlier to enable that certainty. And I think one of the things that we enjoy in Clearway Group at the parent entity level is we have a very substantial balance sheet and in our ultimate upstream parent, a source of capital that is greater than we could ever really require. So when we can make rational decisions that help us advance a pipeline with more certainty than others we're doing that. And we think, we think that that kind of advantage is going to endure to us, in the marketplace during the course of the next few years.
Operator: And our next question comes on the line of Michael Lapides with Goldman Sachs.
Michael Lapides: I have two that are kind of unrelated to each other. I apologize for that. Question number one is just broadly speaking, when you're looking at utility scale solar and storage contracts today and what the PPA prices were, and also at wind contracts today for what the PPA prices are, and just compare them to what they were 12 or 18 months ago. How big of a change? Like how much are PPA prices in the marketplace, and I know there's some uncertainty, obviously with the department of commerce overhang, but just curious, just on broader inflationary and supply chain trends, how much are PPA prices changing in the marketplace?
Craig Cornelius: Sure, Craig. Yes. Substantially, but what's interesting is that I think our customers relative to the range of alternative sources of supply still see financial benefit in those elevated PPA prices, and of course continue to have long run decarbonization goals that they're trying to meet. So, I think to put numbers to it, I mean, they're substantial. It's 15-30% increases in wind PPA rates over the space of the last 6 months in some areas. Resource adequacy contract pricing on battery deliveries for sort of the near-term is up substantially higher than that in terms of percentage values. For solar PPA rates, again, they're up substantially higher than those percentage values, as you can appreciate Michael, there's a variety of idiosyncrasies that come with resource and project location, but the bottom line is PPA prices are increasing between 15% and 50% roughly for vintages during the course of say the next 24 to 36 months, but they still offer, I think, relative to alternatives, a pretty favorable value proposition for customers. We've seen upward trends on recs that are even higher than those percentage values. And I think what that also reflects is, is the fact that supply chain dislocations and project completion timelines converging with escalating demand for renewable energy products lead customers to be prepared to pay more for those recs. So in total, we are seeing a pretty significant escalation in renewable power prices. As somebody who wants to see the resource accelerate broadly across the country as fast as possible, I don't relish the fact that market conditions require that. But we're seeing customers be prepared to continue to engage with us in advanced projects forward, even with that price escalation, because the renewable projects relative to other fuel sources are still disinflationary.
Michael Lapides: Got it. Okay. That's super helpful. The second question, unrelated one, a little quiet on this topic, any update on the California gas plants?
Christopher Sotos: Michael, not a big update. No, I mean, we continue to work on it. I think that, you know, we've talked about a little bit previously is most of the California ISOs procurement comes in the second and third quarter. So, we work with them continually, but that's probably -- we'll get a next significant update is probably more third quarter-ish, along those lines.
Michael Lapides: And any thoughts on what any potential change in the retirement of Diablo canyon, obviously there's been some press out of a governor's office, what that would mean for one of the assets you own?
Christopher Sotos: I [indiscernible] that big Delta, just because of, as we talked about over the years, the importance of the assets we do have. And I think in a lot of ways know, given what we're seeing in the market today, those assets are as needed if not more so than ever. So, I don't think it would really affect things that much, but remains to be seen.
Operator: And our last question comes from the line of Noah Kaye with Oppenheimer.
Noah Kaye: Could you give us a bit more of an update on the battery supply situation? What you're seeing in terms of cost increases there, and when you can push out delivery dates. How are you managing that aspect of the project development?
Christopher Sotos: Craig.
Craig Cornelius: Yes. It's an interesting dynamic, because there are so many different factors that converge. On the one hand accelerating demand for use of batteries and automotive applications has strained the supply expansions that were planned already by different manufacturers, but push outs of paired solar and storage projects in the US have tempered some of the pricing escalation that we were seeing taking off at the beginning of this year. So for our company specifically, I think we enjoy prioritization of customers, or of suppliers, I should say, both because of the many GWh worth of batteries are have procured or are planning to procure for project completions during the next 4 years. But also, upstream from Clearway Group and Clearway Energy, Inc., GIP as our owner is a global investor with a very global footprint of renewable and storage investments. And those suppliers recognize that as they're engaging with us, they're also engaging with that broader family. So we're able to have strategic conversations with them and, and within those, for those to keep our project schedules on track. As we look forward, I think our company and others like us are looking to establish analogs to the type of framework agreements that the automotive industry employs with those suppliers, and with those framework agreements to give ourselves certainty of supply, certainty of cost structure within ranges, and also evolution of what that manufacturing footprint might look like. And the suppliers with whom we're engaged on those types of framework agreements really see how essential it is for the long run story our industry can tell for policymakers and citizens in America, that they build a manufacturing footprint here in America. So as we're crafting those framework agreements, we are first looking to secure adequate supplies so that we can build the resources that our customers need here. Second, looking to establish a corridor cost that will allow us to be confident in developing projects. But third, also looking to accelerate establishment of battery supply chains here in the continental US, so that that footprint can both diminish risk around trade and freight, but also make good on the kinds of commitments that we're looking to make for policymakers as they establish a more robust environment for incentives for the deployment of batteries and renewables.
Noah Kaye: Great. Thank you, Craig. And just a quick housekeeping item, if I can clarify there's a helpful table in the appendix around the contribution of, committed or closed growth investments on a full-year basis to CAFD for 2023 and 2024. Possible to give us roughly what that might be for 2022, how material it is?
Christopher Sotos: Chad, why don't you take that? Because I think it's basically the $56 million, but go ahead.
Chad Plotkin: Yes, maybe I wasn't exactly following the question. So are you just asking how much of that incremental capital would come in 2022?
Noah Kaye: No. How much of the CAFD contribution in 2022 is from the committed closed growth investments?
Chad Plotkin: Oh. Well I think if you think about it from a timing perspective, so what I would say is if you look at the table, which I believe you're looking at, at slide 14, so obviously anything that had funded through the end of last year and then early part of this year, so really through BlackRock, that's almost entirely encapsulated in our 2022 expectations. I would say with regards to Mililani 1 Waiawa and Daggett, that's somewhat of a negligible contribution in the 2022 forecast. So what I'd ask you to do is, that what we try to do is give a sense of the shape as those materialize, which you can see on slide 17. So basically the way I would think about it is, is that assuming we hit all of our targets on CODs and those begin to generate the revenue and associated CAFD, we would expect to see a pretty sizable bump up starting next year.
Noah Kaye: Right. So if I could just reflect that what's in CAFD for this year is done. And whatever gets done this year in terms of additional projects and any contribution would be upside.
Chad Plotkin: That is a fair way to think about it.
Operator: And this does conclude today's question and answer session, and I would like to turn the conference back over to Chris Sotos for any further remarks.
Christopher Sotos: Thank you everyone for your time. I appreciate the support and everyone stay safe. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Everyone have a great day.